Operator: Good day, and welcome to the B&G Foods Third Quarter 2020 Earnings Call. Today's call is being recorded. You can access detailed financial information on the quarter in the company's earnings release issued today, which is available at the Investor Relations section of bgfoods.com. Before the company begins its formal remarks, I need to remind everyone that part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to the company's most recent annual report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact the company's future operating results and financial condition. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The company will also be making references on today's call to the non-GAAP financial measures, adjusted EBITDA, adjusted net income, adjusted diluted earnings per share, and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today's earnings release. Ken Romanzi, the company’s President and Chief Executive Officer, will begin the call with opening remarks and discuss various factors that affected the company’s results and selected business highlights. Then Bruce Wacha, the company’s Chief Financial Officer, will discuss the company’s financial results for the third quarter, as well as expectations for the remainder of 2020. Ken will then wrap up with his thoughts regarding the priorities for the remainder of 2020 and beyond. I would now like to turn the call over to Ken.
Ken Romanzi: Thank you, operator. Good afternoon, everyone. Thank you for joining us today for our third quarter earnings call. With the portfolio of brands and products very well suited for the stay at home, work from home, cook from home, and eat at home world B&G Foods delivered another strong quarter of sales and earnings.  Our portfolio of Green Giant vegetables, spices & seasonings, condiments, baking products, and other brands for all daily products really delivered when consumers needed to feed their families at home, out of necessity at first, then out of their rediscovery of their love for cooking and baking, which resulted in another great quarter for our business with net sales increase of 22% and adjusted EBITDA grown 21.3% as compared to the third quarter of last year. These results drove reported adjusted diluted earnings per share of $0.74 for the quarter, an increase of 37%, compared to last year. We experienced tremendous strength in almost all of our brands with nearly 80% of our brands growing net sales versus last year, and nearly 60% of [growth] at a double-digit pace. Throughout this pandemic, we have remained focused on our three major parties, protecting the health and safety of our employees, continuing to meet the unprecedented customer and consumer demand, and making the investments necessary to ensure the long-term financial health and success of B&G Foods. Our operations team continues to do an incredible job ensuring that our supply chain meets the unprecedented increase in demand for our products by keeping our manufacturing facilities operating efficiently, while at the same time ensuring the health and safety of all of our employees. I'm pleased to report we have been very successful keeping our employees safe. Keeping them safe is not only the right thing to do, but we believe that has been a competitive advantage as it has allowed us to keep our supply chain humming without disruption to meet this unprecedented surge in demand. Our supply chain has been a clear contributor to our growth among the best in the industry. And while we assume that some supply shortages is in about half a dozen of our product lines, we've maintained excellent customer service levels on the vast majority of our 50 plus brands throughout the pandemic. I cannot thank our frontline workers enough for working tirelessly around the clock for many months to meet our customer and consumer needs during this time. They continue to be our true heroes. Our impressive growth in net sales across our portfolio was driven by a continuation of strong sustained consumption growth throughout the quarter. For the 13-weeks ending October 3 as reported by Nielsen, the total B&G Foods portfolio consumption grew 18% versus last year. This was nearly 50% greater than the total packaged food growth rate of 12.4% for the same time period, keeping B&G Foods consistently among the fastest growing publicly traded packaged food companies in the U.S. both for the quarter and the entire period since the beginning of the pandemic. In addition, we continue to gaining a whole market share in nearly two-thirds of our brands and categories. Our largest brand, Green Giant, grew 31.5% in net sales driven by [strong needs] and consumption with 46.6% in shelf-stable vegetables will lead to 2.1 share points in the canned vegetable category. And more than 13% consumption growth in frozen vegetables that we will share in the frozen vegetable category that grew 10.6%. Our spices and seasoning grew net sales 30% despite the material exposure to the food service channel. Strong retail consumption growth of 29% for the quarter drove strong net sales growth. Many of our other brands also had a strong third quarter. For example, net sales of Victoria increased 55.9%, and net sales of Cream of Wheat increased 17.2%. And our baking products were boomed amongst consumer’s newfound love for baking, followed by our Clabber Girl line of baking products, which increased 23.2% versus last year. In speaking of baking, before turning the call over to Bruce, I want to talk about our most recent exciting announcement. As you all likely would have seen, we recently entered into an agreement to acquire the iconic Crisco brand of oils and shortening from The J.M. Smucker Co. This acquisition is the second largest in B&G Foods company history, and one about which we are absolutely thrilled. Crisco is an excellent complement to our existing portfolio of baking brands including Clabber Girl, Davis, Rumford, Grandma's molasses, and our Pure Maple Syrup brands. The acquisition of Crisco is consistent with our long standing acquisition strategy of targeting low established brands, with leading market positions, and strong cash flow profiles at reasonable purchase price multiples. Crisco has a strong heritage as the original all vegetable shortening that transformed the way people baked and cooked over 100 years ago. Crisco is the number one brand of shortening, the number one brand of vegetable oil, and it also holds leadership positions in other cooking oils and sprays. Consistent with our acquisition strategy, we expect the acquisition to be immediately accretive to our earnings per share and free cash flow. I'll come back later to share more about how we plan to continue to capture the many opportunities we have with Crisco and all of our brands after Bruce provides you with more details on our third quarter financial performance. Bruce?
Bruce Wacha: Thank you, Ken. Good afternoon everyone. As Ken just outlined, we continue to see the same elevated business trends during the third quarter that we saw during the first two quarters of the year, largely as a result of the ongoing COVID-19 pandemic and its impact on consumers. Our Q3 2020 results include net sales of $495.8 million, adjusted EBITDA of $104.6 million, and adjusted diluted earnings per share of $0.74. Adjusted EBITDA as a percentage of net sales was 21.1% for the quarter. Our net sales increased by $89.5 million or 22% in the third quarter of 2020 when compared to last year's third quarter. The increase in net sales was almost entirely driven by increased volumes. While the impacts of M&A, pricing and foreign exchange were negligible. Similarly, base business net sales increased by $89.1 million, or 21.9%. Our volumes increased by [$89.8 million], primarily driven by the elevated trends resulting from COVID-19. In addition, the third quarter also benefited from an extra week due to the occurrence of the 53rd week during our fiscal year. Our average weekly sales in the third quarter of 2020 were approximately $35 million. Third quarter net sales included strong performance across the majority of the brands within our portfolio, with nearly 60% of the brands in our portfolio, generating double-digit percentage growth in the third quarter of 2020, when compared to last year. Among our larger brands, net sales of Green Giant, including Le Sueur, increased by $37.9 million, or 31.5%. Net sales of our spices & seasonings increased by $24.3 million, or 29.5%. Net sales of Victoria increased by $6.3 million, or 55.9%. Net sales of Maple Grove Farms increased by $3.2 million, or 18.2%. Net sales of Cream of Wheat increased by $2.4 million, or 17.2%. Net sales of Ortega increased $1 million, or 3%. Net sales of all other brands in the aggregate increased $14 million, or 11.1%. Gross profit was $136 million for the third quarter of 2020, or 27.4% of net sales. Excluding the negative impact of $0.1 million of acquisition/divestiture-related and non-recurring expenses during the third quarter of 2020, our gross profit would have been $136.1 million, or 27.5% of net sales. Gross profit was $108.8 million for the third quarter of 2019, or 26.8% of net sales. Excluding the negative impact of $1.5 million of acquisition/divestiture-related and non-recurring charges during the third quarter of 2019, our gross profit would have been $110.3 million, or 27.2% of net sales. While we have continued to see significant operating leverage within our gross profit as a result of our increased sales, these benefits were offset in part during the third quarter by COVID-19 preventative costs, enhanced compensation during the pandemic for employees at our manufacturing facilities, and approximately 100 basis points of freight rate inflation. Our COVID-19 costs, including the enhanced compensation for our manufacturing employees continue to run about $1.5 million per month or approximately $4.5 million in the third quarter. Meanwhile, on a rate basis, increased freight rates cost us about $5.5 million in the quarter. Selling, general and administrative expenses were $43.4 million in the third quarter of 2020, which was an increase in dollar terms, but favorable by about 60 basis points as a percentage of net sales. SG&A costs increased by $5.3 million, compared to the year ago third quarter. The dollar increase was composed of increases in consumer marketing, including investments in e-commerce of $3.8 million, general and administrative expenses of $2.7 million, selling expenses of $1.8 million, and warehouse expenses of 0.3 million, partially offset by a decrease in acquisition, divestiture related in non-recurring expenses of $3.3 million.  Expressed as a percentage of net sales, selling general and administrative expenses were 8.8% for the third quarter of 2020 compared to 9.4% for the third quarter of 2019. We generated $104.6 million and adjusted EBITDA on the third quarter of 2020, compared to 86.2 million in the prior year quarter, which represents an increase of approximately $18.4 million or 21.3%. The increase in adjusted EBITDA was primarily driven by an increase in net sales volume. Adjusted EBITDA as a percentage of net sales was 21.1%, which was in-line with adjusted EBITDA as a percentage of net sales in the prior year third quarter of 21.2%. Year to date, adjusted EBITDA as a percentage of net sale is now 19.8%, approximately 20 basis points higher than the prior year period. We generated adjusted net income of $47.9 million or $0.74 per adjusted diluted share in the third quarter of 2020 compared to 34.9 million or $0.54 per adjusted diluted share in the third quarter of 2019. Earlier this year, like many in our peer group, we suspended our annual guidance with the onset of the COVID-19 or coronavirus pandemic. While we noted that the world would change and that forecasting our business would be challenging due to the many factors outside of our control, we expressed our belief that we would materially exceed the financial forecasts that we had made earlier in the year of 1.66 billion to $1.68 billion in net sales and [$302.5 million to $312.5 million] of adjusted EBITDA, and we certainly have. While life is not returned to normal yet, given where we are in the year, we believe we are in a position to provide guidance for the remainder of fiscal 2020. And we certainly expect to see continued elevated performance throughout the remainder of the year. When factoring in our guidance, however, please keep in mind that while we are very excited about the announced acquisition of Crisco from Smucker, this transaction has not yet closed and therefore our guidance excludes the expected impact of the pending acquisition. So, here it goes. Through the first nine months of 2020, we generated $1.458 billion in net sales, compared to 1.19 billion in the year ago period, an increase of $267.5 million or 22.5%. Similarly, through the first nine months of 2020, we generated $287.9 million in adjusted EBITDA, compared to 233 million in the year ago period, an increase of $54.9 million, or 23.5%. While we don't expect to remain at the same toward plus 20% area growth rate [into perpetuity], we do anticipate growth in the fourth quarter to remain elevated or up as much as 10% or more for net sales, which will drive the rest of our model. Based on our first nine months of performance and our outlook for the fourth quarter, we expect this strong performance that we’re seeing to continue throughout the remainder of the year and we expect to generate between $1.95 billion and $1.97 billion in net sales for 2020. We expect to generate between $360 million and $370 million in adjusted EBITDA. We expect slight improvements in our adjusted EBITDA as a percentage of net sales, as operating leverage from increased volume is expected to continue to boost market. However, similar to prior quarters, we expect some of these margin benefits to be offset by increased costs relating to the pandemic, as well as the continued uptick and freight inflation. We are also providing adjusted diluted earnings per share guidance for the full-year fiscal 2020 in the range of $2.30 to $2.40. We expect to spend approximately $40 million to $45 million for the year in CapEx. Based on our latest estimate and our continued debt paydown effort, we are trending toward a net debt to adjusted EBITDA before share based compensation of approximately 4.5 times before the acquisition of Crisco. Pro forma for the pending acquisition of Crisco we expect to remain well within our target net leverage ratio of 4.5 times to 5.5 times. Based on our latest forecasts and our estimates for the acquisition, we now expect to finish the year at approximately 5 times to 5.1 times net debt to adjusted EBITDA pro forma for the acquisition. Ken discussed some of the highlights earlier explaining why we are so very excited about the acquisition. I would also like to provide some additional financial information. Similar to many other brands in our portfolio, Crisco has seen elevated performance throughout the pandemic boosted by strong double-digit increases in consumption as Americans are re-embracing their kitchens and re-discovering the joys of baking. As previously announced, we expect Crisco will generate approximately $270 million of net sales and approximately $65 million to $70 million of adjusted EBITDA in 2021. We expect Crisco will be accretive to our adjusted diluted earnings per share by approximately $0.45 to $0.50. We also expect Crisco to add approximately $7 million to our annual CapEx needs. We're also very excited about the free cash flow generation profile of this business and expect to help accelerate a de-leveraging goal. We expect the acquisition to close during the fourth quarter, and we expect to finance it initially through a combination of cash on hand and revolver draw. I would now like to turn the call back over to Ken to highlight our plans going forward. Ken?
Ken Romanzi: Thank you, Bruce. Our plans going forward follow the same blueprint we began implementing before the onset of the coronavirus pandemic. We call it our vision to growth. And it's anchored in three strategic priorities. Drive organic, improve margins, and make accretive acquisitions. [Keeping up those business tightly] with modest organic growth and good cost management. So, we can keep our cash flow strong and balance sheet ready for a period of acquisitions. For the purpose of the returning a substantial portion of excess cash to our shareholders in the form of dividends has always been the core of B&G value proposition. The pandemic simply powered of vision for [growth is overdrive]. With tremendous organic growth this year, combined with expanded margins delivering outside cash flow, we've been able to reduce our leverage from over six times at the end of last year to 4.5 times projected this year, which has allowed us to get back on the acquisition hunt and as we mentioned before, Crisco is a classic B&G Foods acquisition otherwise we couldn’t be more excited. Furthermore, lastly, our board of directors declared our 65th consecutive quarterly dividend has gone public in 2004. So how do we keep all this [down]? To drive organic growth, we will capitalize on the growth we're seeing driven by both existing users and the addition of new users. We believe much of the increased consumption of our debt is due to [last minute] changes of consumer behavior. We believe many more consumers will be working from home even after vaccine is available. And we participate in good categories with well-known leading brands that caters very well to the work from home crowd, whether it’s baking, meal, condiments, spices and seasonings, or vegetables we have high quality tasty products in our portfolio that really satisfy consumers basic needs. Our vast portfolio of branded products is driving growth in multiple ways from gaining new households, increased consumption in existing households, and both in the latest 12 months ending September 2020 83% of U.S. households purchased at least one B&G food products and that increased from 79% last year. That equates to approximately 5.7 million more household. The majority of our major brands have seen positive gains in household penetration, including Green Giant, Ortega, Clabber Girl, Cream of Wheat, Weber, and Victoria. And these new households love our products just like our existing consumers with a repeat rate of 53%.  Our broad portfolio of brands is driving growth in multiple ways as I mentioned before. Brands are getting most of their growth from new buyers include Clabber Girl, Mama Mary’s, Victoria, and Spice Islands. Brands that are getting most of their growth from existing buyers include Green Giant, and Ortega. And we have brands that seeing growth more evenly split between new and existing buyers, including Cream of Wheat, Bear Creek, and Weber. We expect future growth to continue mostly from existing users as consumers have fundamentally changed their behavior and will continue to cook and eat more at home. All we'll have to do is read the report and know how many companies are planning to have their employees work at home more in the future regardless of whether or not there’s a COVID vaccine.  And our brand portfolio will be [indiscernible] meeting their needs with new recipe, usage ideas, and innovation as they have been throughout the pandemic. Regarding new households, I stand by my belief I've shared in the past that they are like the fountain of youth to any brand, particularly legacy brands like ours. So we expect they will add icing on the cake to our future growth opportunity. To retain those new households and keep our strong base of existing households keep coming back. We've been increasing our marketing investment and shifting those investments to more usage-oriented marketing with an emphasis on e-commerce. Examples of our recent efforts include partnering with leading media companies to note our brands and recipes on high impact sites like delish.com, and allrecipes.com. We've also launched an exclusive online interactive kitchen with a digital pantry and freezer [specked] with our brand, in a host of recipes, tips and tricks to make eating at home with the family easier and more enjoyable. Additionally, we've partnered with Catalina Marketing to strategically target the new incremental household moving during the pandemic. While delivering these new consumers we have an ease and usage suggestions online at home, on their mobile device and in-store to help encourage consumption of our brands already found in their household and encourage repeat purchases thereafter. We've also partnered with a leading provider of household panel data to deliver enhanced consumer demographic, attitudes, and purchase behavior insight. These insights will not only aid in driving sales by better positioning ourselves to existing consumers and retail partners, but also among opportunity consumer segments that will be implemented to our business.  And lastly, I'm pleased to report that the Jolly Green Giant is back on national television for the fall advertising campaign, teaching consumers how to get more vegetables into their diet, featuring much of our shows frozen innovation. Regarding e-commerce, we estimate that the proportion of our sales through e-commerce has grown 140% this year, and represents approximately 7% of our consumption sales as reported by [U.S.] Now, this really is only an estimate, as retailers have not yet completely broken down our sales to them between traditional brick and mortar sale and click and collect and click and deliver, but we know it's grown very fast and become an increasingly important part of our business. Our largest brand, Green Giant is also our largest brand in e-commerce by far. And according to news and reporting, our share of frozen vegetables in our e-commerce is north of 50%, approximately 4 times that of our retail share. On this front, we've invested in much of the foundational work necessary to set ourselves up for success, including internal and external search functionality, where to buy, assortment optimization, key images and keyword. In addition, we’re partnering with e-commerce retail partners to test them around what's most impactful for consumers of being [indiscernible] product. This foundation of working capital is critical to our continued success in e-commerce in the near future, and we believe will allow us to hit the ground running even faster in 2021. And last but not least, product innovation will remain a major driver of our business going forward. While retailer [needs a] minimal product introduction during the pandemic, we certainly didn't [meet] the sales volume this year. We have focused our efforts on keeping the supply chain full of our best selling product. But this delay had a hidden benefit, the delay reset the six to nine more months of lead time to develop lead product. This is a rare luxury in the world of new product development. As a result, our new innovation pipeline is even more robust. Some of the highlights of new product introduction delayed this year and early 2021 include, will keep the innovation train rolling on Joy Green Giant by introducing additional products that deliver on Green Giant’s mission to help people get more vegetables into their diet. Our focus will continue to introduce new products made from vegetable that offer delicious carbohydrate replacement alternatives to large carbohydrate filled categories such as pasta, rice, and bread. This quarter, we will continue the rollout of Green Giant Cauliflower Gnocchi and Cauliflower Breadsticks. In addition we [Technical Difficulty] rollout of Green Giant Cauliflower for vegetable based veggie fries and veggie rings, our take on traditional onion rings. Early retail movement in this first few retailers that launched these new items is very promising. And next year, we plan to introduce a line of outstanding cauliflower based pastas, including ravioli, fettuccine, and mac and cheese. These are delicious. One would never know they're made from cauliflower and other vegetables. And will be gluten free. And we would like to get our core vegetable franchise, so we're introducing Green Giant Vegetable seasoned with our Dash salt-free seasonings, our first cross brand product innovation. The second largest brand Ortega, we’ll bring them a magic of cauliflower to a category that really needs better for new innovation. We’re introducing Ortega Cauliflower Taco Shells and Tortillos, one of the first product formulation innovations in this category in quite some time. We will compliment this launch with the introduction of Ortega street taco sauces in three flavors in squeeze bottles to capitalize on the growing food truck craze. In spices & seasoning, we are constantly innovating with new blends like our Dash everything with a [salt-free], which allows people to enjoy the taste of [everything big] or without the salt. In addition, we've launched new Weber grilling brands, including our Weber Cowboy and Savory Steakhouse Seasonings  Now the next one's very exciting. Under a licensing agreement, we just recently launched Cinnamon Toast Crunch single best seasoning blend inspired by the second best selling cereal in America, Cinnamon Toast Crunch. This product was introduced to much fanfare. Consumers on their social media pages and the media alike have been obsessed with the product, delivering over 2.7 billion media impressions since we announced it in late August and our initial sales results have not disappointed. [Food industry] has quickly become the fastest selling spice blend within our entire seasoning portfolio at a major wholesale club partner. And we'll be expanding distribution of this terrific new product in early 2021. Our second institute, strategic imperative of our vision for growth is improving margin. At the core of this is, better price management and our cost productivity program, which continues to bear fruit across our supply chain in the area of logistics, product and packaging initiatives, and manufacturing. We set a goal of driving $20 million in annual cost savings and delivered them in 2019. In 2020, we expect to deliver 17 million in cost at [from four] optimizing our transportation cost, product weighed out, package cost reductions, and repatriating products from co-packers into our manufacturing facility. The $3 million gap between our expected savings and our goal is a decision we made to delay several manufacturing projects due to our desire to not disrupt our facilities as they significantly ramped up production at the beginning of the pandemic and have not slowed down since. We will begin implementing our manufacturing costs programs as we catch up with COVID demand, and we will share more on upfront in this area at our year-end earnings call. Better price management is the second driver of our margin improvement imperative and COVID certainly helped in this area. Through the first three quarters of 2020, we've gotten over [$24 million] of improved pricing. And while we return to more normalized promotional levels in the third quarter, we expect most of our year to date pricing to stick this year. Going forward, our new trade promotion management system will allow us to continue to optimize promotional price points for better efficiency and effectiveness. And our last strategic imperative of our vision for growth is of course making accretive acquisitions. As I mentioned before, this is why B&G Foods was built, and we have a great track record of building value for our shareholders with the strategy, probably with a terrific addition to our portfolio. And the Crisco brand is yet another perfect fit with our strategy. With strong cash goals from these acquisitions, plus a healthy base business, we expect to continue to reduce our net leverage post acquisition to ensure our balance sheet is in shape to continue to add accretive businesses. And lastly, before I turn the call back over to the operator, I wanted to acknowledge and thank the entire B&G Foods organization of almost 3,000 people for their tireless efforts to produce the results we shared today. All while taking care of one another just stay safe and healthy, yet remaining extremely productive as we do our part to keep our nation's food supply flowing. Our front line employees are showing that they continue to be heroes throughout this pandemic and I cannot thank them enough for their efforts. I would also like to take this opportunity to publicly welcome the Cincinnati based Crisco employees that we expect will join the B&G Foods family later this year, subject to the closing of the pending acquisition. This concludes our remarks for today. And now we'd like to begin the Q&A portion of our call. Operator?
Operator: Thank you. [Operator Instructions] And our first question today comes from Brian Holland with D.A. Davidson.
Brian Holland: Thanks, good afternoon and congratulations on the continued sharp performance this year. Maybe first question, you know shipments up, you know base business up low 20s, 21% something like that, I believe I heard in the prepared remarks consumption of 29, so, you know, can you help triangulate sort of going forward? Because it feels like it, I think you talked about some supply, you know, issues that you were managing as well. So as we kind of go forward here, are inventories pretty tight with retailers, are we going to see a set up there where you're going to have to grow shipments ahead of consumption in subsequent quarters that kind of catch up for that? And maybe help us understand maybe the progression of that over the next few quarters. Like how quickly you can make that up, if you will?
Bruce Wacha: Yeah, I mean, certainly, if you look at our inventory, this is definitely the quarter where we increase inventory. So, on a broad basis, we are building our own inventory. On a specific basis, obviously, we're operating, you know call it 7, 8 months into a pandemic, and there's always on occasion, certain brands and categories that are in heightened demand, therefore, you really need to uptick, our efforts from a supply standpoint. I think we're just going to continue to watch it. I think, you know, you have seen certainly distortion from time-to-time around holidays and other things where buying patterns look a little bit different.  We're certainly in the holiday buying area today as we speak, you know, in November heading up towards Thanksgiving. But we’ve also seen periods, like we talked about earlier in the year after the second quarter, where you didn't see a big lift for July 4. So, some of those are a little bit tougher to predict where they're going to be. As Ken mentioned, earlier in the call, we're doing really everything we can to maximize supply and make sure that we've got product on the shelf throughout and continue to react to the needs of the retailers and ultimately the consumers.
Brian Holland: Okay, fair enough. And then, you know, maybe just taking a step back here, you know, obviously, your portfolio effectively positioned within COVID, you know, where the consumer is migrating to from a category standpoint, baking, Frozen, etcetera, but you're sharing the aggregate has improved through this. So, I'm wondering if you could kind of just take a step back here and maybe help us understand where you think your, you know – consumption is improving across grocery, obviously, but, you know, where are you guys taking share right now? Where is either the execution improving? Or where is, you know, kind of the connection with the consumer? Where's that most acute right now? Because, you know, I think it's worth noting that your share has improved in this dynamic, it hasn't worsened.
Bruce Wacha: Yeah, I appreciate your recognizing that and pointing out. Sorry, Ken, do you want to answer that?
Ken Romanzi: Well, as you can say some of our biggest share gains are baking powder, and molasses, frozen vegetables and green – and shelf-stable vegetables. I mean, just go by category, some of those largest share gains, but, you know, two-thirds of our brands have gained or [held chair]. So, it's kind of hard to pinpoint, but big swings in baking powder, shelf-stable vegetables, even some [late things], and some segments of our seasonings business as well. 
Bruce Wacha: Brian, one of the key things to remember on that, too, is just what we've been saying for some time is just the ability to execute and owning as much for the right amounts of your supply chain and having good relationships with your co-packers for the manufacturing that you don't own is just crucial at this point in time and our ability to execute and keep the factories running has been a key factor in terms of keeping product on the shelf as it's moving in really heightened levels to, you know, to the consumers.
Ken Romanzi: Okay. I would – certainly the supply chain, you know, we have been getting, you know while we’ve had, we’ve had our issues as well. We have been getting great, great feedback from our customers that were on hold. We're executing well and in very important categories, keeping them in stock, which I think is a driver, you know, certainly contributed driving share gains.
Brian Holland: Appreciate the color Ken and Bruce, best of luck.
Operator: Our next question comes from David Palmer of Evercore ISI.
Kevin Lehmann: Hi, it's actually Kevin Lehmann on for Dave, thanks for the question.
Ken Romanzi: No worries. Hey, Kevin.
Kevin Lehmann: Hey, guys. Thank you, Ken. In the past, you guys have talked about the opportunity to expand some of the smaller regional brands being acquired over the years into more mainstream or national retailers mentioned just a few minutes ago, Victoria for example, sales up – what was this 55% in the quarter, if you look at the scanner data, your ACV distribution for that brand is up almost 600 basis points. Clabber Girl saw similar ACV increase. So, we're all wondering how sticky consumer trial will be, but is the pandemic demand also bringing forward some ACV gains that may have otherwise taken several years to actually achieve? And if so, how sticky do you think those distribution winds will be in 2021 and going forward? Thanks.
Ken Romanzi: Yes, it's a good point. It does help. I mean, you know, it's certainly a [indiscernible] help, because again that’s another one where we were doing very well on supply and some competitors were having some issue with supply. So, you gain distribution and then if the product do well, it can be very sticky. I mean, distribution is only tricky if the product turns well. So, we expect that some of those distributions we've seen in pasta sauce and seasonings in hot cereal, we’ve seen some gains, so we – can vegetables we've actually seen some gains. So, you know we were there ready to supply customers when they need it and with the product performing well, let’s just say, we’re very focused on distribution and we don’t want to give [any of] that. So, the COVID has helped that as well.
Kevin Lehmann: Thank you.
Operator: We'll go next to Michael Lavery of Piper Sandler.
Michael Lavery: Thank you. Good evening. You mentioned how important the relationships are with your co-packers and co-manufacturers, but do you have a sense of how much if even though growth is looking like it's continuing at elevated levels of joints and deceleration it's moderating a bit certainly from the spring, do you have a sense of how much you may be able to lessen your dependence on co-packers next year, and if there's a margin benefit we should expect that would come from that?
Ken Romanzi: Yeah, I’m not really sure; the COVID situation is going to make a big difference in lessening our dependence. You have to remember that about half of our volume is done internally manufactured in half co-package. It's really the result of it – we're an amalgamation of the businesses we purchased, some came with manufacturing, some didn't come with manufacturing. So, for the most part, our co-packers came through really well through COVID and go continue with them. There were a handful – less than a handful that actually weren't able to keep up. And we've started to now either have more or actually re-patriot the products in our own facility to expand our – not necessarily give up the co-packer, but expand the capacity, because they were tapped out. And we don't, you know, we certainly don't want the [fill rates] to be – continue to be low.  So, in some cases, we're actually making some products that were traditionally dedicated to co-packers. The biggest driver of whether we produce or don't produce is going to be based on cost. And part of our cost savings initiatives will include on where it makes financial sense for us to move product from co-packers to internal manufacturing and that is part of our cost savings going forward, but we're not going to dramatically change the mix overnight. If we’re 50/50 today, you know, we'll be moving a few percentage points every now and again internally. It'll be a product line by product line decision. So, I hope that answers your question.
Michael Lavery: Yeah, that's helpful. And it sounds like it hasn't been a big shift in favor of co-brands during the surge; you've handled it on both internally and externally managing capacity up?
Ken Romanzi: Yes, for the most part, our co-brands have come through, probably haven't had any issues. But if you look at the drivers of our lower fill rates, it was really two or three product lines, most of which was in our house and there wasn't a lot of excess capacity to be had. So, we're in the process of, you know, building more.
Michael Lavery: That's great. And just a quick follow up on [canned corn], any sense of how that supply looks like you'll be positioned for the next year, and if you feel like there's any constraints that might come there?
Ken Romanzi: We believe that the entire can vegetable category is going to be tight, because, you know, we have to make the decision on how much volume we need. Well in advance is the way the business works for everyone is, you got to let the farmers know early in the year what you need them to plant in the spring to be harvested in the summer and the early fall. So, all of those demand plans were put together, kind of put to bed by January and then COVID hit March. Now, we went back out to look for more in May and got more, but didn't get nearly as much as we needed. And then COVID demand was even stronger or longer than what we even thought back in May. So, and you’re starting to see an uptick of some stockpiling in the fall on that category. So, it's going to be a tight category for the next summer.
Michael Lavery: Okay, thanks for color.
Operator: We'll go next to Karru Martinson of Jefferies.
Karru Martinson: Good afternoon. Just quick housekeeping. I thought I heard you say, with Crisco pro forma, you're expecting 5 times to 5.1 times leverage is that correct?
Bruce Wacha: Correct.
Karru Martinson: Okay. And then in terms of the welcome delay giving you guys more time to formulate the product innovation pipeline here. Has that changed in terms of the cadence of where you're rolling out, you constantly hear the stories of, you know, we're focused on the core, we're not adding new stuff, how are you getting new stuff on the shelf, and when should we kind of expect that to flow through the upcoming year here?
Ken Romanzi: It's a retailer by retailer decision whether or not they're going to reset their shelves. So, it's a very, very hard thing to generalize, because then retailer by retailer, so some retailers, depending on the category change from, you know, second to third quarter rollout to 2020 to four quarter, and some change to next year. And some said – in some categories they said, we're not even going to reset the category next year. So, the good news is, we've got the product developed, and we're ready to launch when the customer is ready to launch.
Karru Martinson: Then when you look at the new product development, how are you tying that into kind of the online shopping experience or can you formulate your product such that it can be more easily accessible to, kind of a hearing a lot of grocery stores, putting in kind of online shopping centers to the store? Are you finding placement in those locations or are you participating in that?
Ken Romanzi: Not to a great extent. When we do want something we’re making sure now that a lot of the requirements in online have certain package requirements, not necessarily product formulation. So, we are keeping in mind that the case pack to be able to be sold – to be sold online. And we’re certainly using some of the online retailers for early marketing because it's a great way to get out there and get some buzz behind the product.
Karru Martinson: Thank you very much, guys. Appreciate it.
Operator: We'll go next to William Reuter, Bank of America.
William Reuter: Hi, I guess my first question, I assume, given the relatively large acquisition that you'll [indiscernible] pause on share repurchases going forward, I guess, is that the case?
Bruce Wacha: I think obviously, our focus right now is the acquisition and the integration, and, you know, depending on where sales EBITDA, cash flow leverage, all shake out over time, you know, share repurchases. One consideration, but I think you're highlighting something appropriately. The focus right now is on acquisition and integration.
William Reuter: Okay, and then my other one, given some capacity constraints and challenges with regard to supply chain, I think you guys manufacture about half your product. Have you thought about changing that mixture of self manufacturing versus third party?
Bruce Wacha: I think the biggest driver on how that could change in a big way is just resulting to M&A, but certainly as Ken mentioned on the call earlier, we want to be more efficient, where it makes sense and where it makes sense for us to bring in manufacturing to do it in-house. You know, that makes sense, and in some cases, the asset light model works well from a co-packer standpoint. Real big thing is to be important within our co-packers as opposed to; you know being a small player with a large co-packer.
William Reuter: Great, that's all from me. Thank you.
Bruce Wacha: Okay.
Operator: We’ll go next to Carla Casella with JP Morgan.
Carla Casella: Hi. I have one question on the capital structure and one on the business, with the big acquisition in and you've got a callable debt in your structure, any thoughts of doing refinancing and potentially using longer-term financing for the acquisition rather than your revolver?
Bruce Wacha: Yeah, I think that's certainly something that we're going to look to evaluate over time and be opportunistic within the market context.
Carla Casella: Okay. When we looked at the brand, I just got a couple on brand categories. Any of the strengths in this quarter, is any of it driven by timing where the shipments came in third quarter this year versus fourth quarter next year?
Ken Romanzi: No. In fact, we are off to a good start in October. So, we're, you know, our shipments in assumption were pretty close in the third quarter. So, it wasn't really – it wasn't negatively affected at all.
Carla Casella: Okay, and as they go into holiday, where I'm assuming [can] may make get some refocus, is – are you seeing pick up in promotional activity or can you talk about the cans category in general and placing competition there?
Ken Romanzi: I'm sorry, what category you're asking about?
Carla Casella: Green Giant shelf. I think I called it can, yeah, sorry.
Ken Romanzi: Oh, I'm sorry. Yeah. So yeah, I mean, you know, Thanksgiving and Christmas and Hanukkah holidays are big. It is the season for, you know, for canned vegetables. So, we expect, you know, kind of normal activity. We do expect, as has been all year long, we do expect elevated pricing in the category for, you know, versus a year ago, but they're going to be promoted.
Carla Casella: Okay, great. Thanks.
Operator: Our next question comes from Hale Holden of Barclays.
Hale Holden: Thanks for taking the question. I just had two quick ones. On the Crisco acquisition, when you guys bought Green Giant, you know, took probably nine months or into the following fall, before you got your own innovation into the brands? Is that something we should expect the Crisco or is there an innovation pipeline that's coming faster than that with the brand?
Ken Romanzi: I would say that we don't see as much innovation with Crisco as we did in the frozen vegetable category, but there is some things that are on the books that are intriguing to us. But I don't, you know, right now, we want to focus on integrating the acquisition really well, it's a big business. And we don't see it, leading quite their level of innovation that Green Giant is. Having said that, I'm sure within, you know, within the first year, we'll start to share with customers the most attractive pieces of the innovation that Smucker Company has developed and there is some nice ideas in there that they would have loved to watch it go as a higher priority for them, but the schools certainly take a hard look at them, given it's going to be a very important brand in our portfolio.
Hale Holden: Sounds good. And then Bruce, you gave – two things, you gave a pricing increase year-to-date, but I have heard around $23 million, $24 million did you guys realize your price increases? And then also outlined a bunch of new tools to try to, I guess, go to consumer better, and have better consumer insights? So, I was wondering, you know, when you combine those with your confidence level on holding that pricing increase into a more normalized environment, potentially in 2021, when demand, you know, becomes a little more flatter than what you're seeing right now?
Bruce Wacha: Yeah, I think the real thing to follow, there's a couple things. So one, obviously, as an organization, we're smarter today than we used to be. And that new tool was really part of the program that we started to put in place last year with, you know, pre-COVID, a trade spin optimization program, and how we were looking at things. So that definitely was a part of the gain and benefit that was truly in the business that we expect to hold on to. As was the list price increase that we took in the spring of 2019 that we left in the beginning of this year, and so, that truly is. There certainly was in the March, April, May time period, even probably still in the June, July, a good amount of trade spend programs being cancelled, put on-hold as the grocery stores we're dealing with COVID and trying to just keep product on the shelf. I think we've probably started to see a little bit more of a normal environment or a less abnormal environment in the third quarter, fourth quarter than we did earlier in the year. And so, I think it's starting to settle a little bit, but a lot of the benefit that we took – we have in place and we expect to continue to keep some of that in place.
Hale Holden: Sounds good. Thank you very much.
Operator: Our next question comes from Eric Larson of Seaport Global Securities.
Eric Larson: Thank you for taking the question. Good afternoon, everyone. There's a couple questions. I think Ken you alluded to – I think all the companies are talking about this. And if you could maybe put some quantification on it, the total marketing spend, you're trying to increase your spending at a time when your household penetration is up, you want to retain as many of those customers as possible. So, can you give us a sense of, you know, either in $1 number or percentage of sales or in some measurement, you know, how much your marketing spend, is actually going up in total?
Ken Romanzi: Yeah, year-to-date [grows]. It's in our numbers, hang-on. So for the first half of the year, our marketing spend actually was down, because we were, we were clamping down on spending until we were trying to get a hold of what was going on, you know get a hold of what’s going on with the consumer and catching up with demand. So, year-to-date our marketing spend was roughly – it was about 10% higher than a year ago, but down as a percentage of sales. In the first half of the year, it was down in absolute. And it came back. As Bruce mentioned, we spent more in the [indiscernible] on the third quarter did last year. We expect that to continue to spend even more in the fourth quarter versus year ago. So, all-in on marketing spend this year will be up – it'll be up at least 15%.
Eric Larson: 15% absolute?
Ken Romanzi: 15%. Yeah. So – and that's, you know, that's good for us to be, you know, we're not the largest spenders in marketing. But that's a nice increase for us, especially the way we're targeting it and using it for both online shopper marketing and then getting Green Giant back on air again is critical given there's so much innovation we have with all the different governments we are going after. It's critical that that innovation got some awareness and trial in accelerated fashion.
Eric Larson: Got it? And then my follow up question here is, you know, obviously, we've got, we've all known that there's some freight inflation, actually quite a bit. I mean, 5.5 million I think in your quarter. It's different that, you know, your sales were a lot higher than they were a few years ago, when it was plus 5 million to plus 10 million, but is it because home delivery – is this a sustainable? I mean, is this a situation that could get? You know, similar to what we had, you know, kind of a, you know, hyperinflationary period several years ago, or how should we be looking at freight costs?
Bruce Wacha: Yeah, it's interesting, because we were actually – we were looking for some freight increases this year, throughout the year was our model and what we were expecting, and probably the first six months of the year, we just weren't seeing it. We actually had some favorability. So, it picked up a little bit in the third quarter. We are continuing to watch it. Certainly, because a lot of the moves that we made following that late 2017, early 2018 increase that that you referenced, I think we’re better able to deal with it today than we were back then we're more efficient. We've taken a lot a lot of miles out of the system. So, feel a little bit more efficient, but certainly watching it was something that we expected to happen this year. And then there were delays. I don't think it's hyperinflation from a freight standpoint, but certainly it's something that that's picked up a little bit and if people just do it if necessary.
Eric Larson : Okay. Thanks Bruce.
Ken Romanzi: Yeah, I would say that it is – and I would say that it's basically a shortage of capacity. That's what's driving it. Even here, some of the online delivery companies saying if you want to order something for Christmas, you better order now. Don't wait to the last minute because it's not going to arrive on time. So, it's really a shortage of capacity. And to Bruce's point, we’re seeing similar 8% increases, but we're offsetting that because we've got long-term logistics sufficiency programs in place that, number one are sending more from spot to contract. So, spot rates have really spiked, contract rates [not much]. So more from spot to contract, and a lot more in truckload versus less than truckload, and that's a huge driver. On top of all the strategic moves we made, we re-locate some of our warehouses to take, as Bruce mentioned, a ton of miles down. So, those three things we’re implementing those. Our rate increase, the same rate increase doesn't seem to have the same negative effect that had a few years ago.
Eric Larson: Got it. Yeah. I remember when you added your West Coast distribution center, I think that took out, you know, a huge number of miles, if I recall correctly.
Ken Romanzi : Huge number. And we're still saving money on that in our little East Coast move we did as well. So, and that's really helping out a lot as rates rise.
Eric Larson: Okay, thank you.
Operator: We’ll got next to Ken Zaslow of Bank of Montreal.
Ken Zaslow: Hey, good afternoon, everyone.
Ken Romanzi: Hey, Ken.
Ken Zaslow: So, I know it's early, but can you give us some puts and takes of how we think about 2021? You know, because as I see, even in the fourth quarter, the rate of EBITDA growth obviously is slowing, but how do we think about 2021 in terms of what you think is the biggest puts and takes and how we start framing in our mind? I know it's early to give exact guidance, but if you could give us some puts and take that would be very helpful?
Ken Romanzi: Well, I don't think we're ready to do that for 2021. I’ll let Bruce comment, but I think – the one thing I would say, to get your head wrapped around 2021 is to do what we're doing. Look at 2021 versus 2019. Because that's the trend we know about. And trending versus 2020, we're still, you know, still 2020 is still up in the air. So, there’s such major changes to the business in 2021, or 2020 excuse me. We're trying to wrap our mind around how does 2021 look versus 2019? What's reasonable to assume of what's going to carry over. And while we look at puts and takes versus 2021, more really, versus 2020, we're really looking to build it versus 2019. Because that's the trends we know of today. Very difficult to figure out what's going to happen next March and April versus the last March and April where we saw just, you know seven unexpected huge increases in demand.
Bruce Wacha: Yeah. And obviously, the biggest wildcard is going to be what happens with COVID and are we still going to work from home, play from home, school from home type environment.
Ken Zaslow: Okay, and then also freight, it would obviously be a factor as well. And then I'm assuming ad spending in new innovation and [indiscernible] also because it seems like you've actually amped up the new innovation. You know, if you kind of think about relative again, to 2019. You know, in a lot of respects, your home your company in terms of your focus on innovation, it seems like it’s just a greater focus, is that, are those the keys that I would think of?
Bruce Wacha: Yeah, and the other ones that I'd add to that is obviously as we talked about over the last couple years, if there's inflation. And it's sustained, people should expect not just B&G, but other packaged food players to take price increases, and so probably nothing different there. Certainly, you know, you get COVID, you get massive demand, we've seen that all year. And despite predictions of maybe it goes away. It's still here. And then obviously the last thing is Crisco, we've got an acquisition, and that'll fit perfectly within our financials.
Ken Zaslow: I agree. And then just the last question I have is, when I think about the innovation, again, I like it versus 2019. I think that's really fair way to think about it. What do you think your success rate is and the incremental from that relative to the idea that, you know we're all talking about, you know, you're getting new customers, but part of it is the innovation of that. What percentage of your innovation or what percentage of the sales do you think is sticky or what percentage of your innovation is something that won't go away? Do you think of that as a percentage of your sales going forward? Can you frame that for us and I'll leave it there and I appreciate it?
Bruce Wacha: Ken, you want to get that? You want me to get it?
Ken Romanzi: Yeah, sorry. I'm sorry. I will. I think what you have to think about, we’re not prepared to start to talk about percent of the business from innovation to 2021, [not alone be] in our guidance mix through next year, we'll be able to lay out for you how much volume we believe we'll get from innovation, and how much of it is sticky and leftover, but suffice to say, we'll be moving more volume and innovation in 2021 that will be in 2019. Because we've got a good success rate from what we've launched, not everything has – not every single skew has been successful in this [indiscernible], but for the most part, you know, everything we launched is doing well. And then we're launching new products on top of that. So, it's building and particularly our largest brand, Green Giant, I mean, we can lay it out for you. But the brand has steadily grown over the last few years. And that's basically driven by innovation.
Ken Zaslow: Great. I appreciate it. Be well guys.
Bruce Wacha: Thanks Ken.
Operator: And our final question today comes from Robert Moskow of Credit Suisse.
Robert Moskow: Hi. Thank you. I have a question about, just – you mentioned that you would hit the rare luxury that retailers are pushing back, simply the merchandising resets, and can you elaborate a little bit more on that for me. Like, is it allowing you to get more distribution than you otherwise would have expected? And if so, how are retailers making room for you, are they expanding the overall category or do you think there's other brands that are being [indiscernible]?
Ken Romanzi: Yeah, the real luxury comment comes from my minimal use of being a marketer. The rare luxury is really for our marketing and R&D and commercialization people because they basically got a 6 month to 9 month reprieve to get everything ready. So that's what I meant by the luxury. So going to the R&D and marketing people say, guess what, you have now six to nine more months before you have to get everything in market, but just, you know, let's just say, if I told them move everything, you're working on up 6 months to 9 months and they go up and say, oh, my God, how in the world are we going to do that in a quality way.  So, it's really a luxury of our marketing and R&D folks. So, we didn't stop our innovation pipeline. But everything just shifted. So, we were working on 2020, 2021, 2022 plan, and then – and we had great ideas. So everything just shifted, meaning we're going to start the 2020 innovation later. We'll probably launch what was going to be early 2021. We’ll launch that in late 2021 or early 2022. So it just made it more robust because we had a delay. And we certainly – the luxury was that we didn't need the new product volume, and rightly so everybody's focused on the base business. So, the comment was really to the folks that have to get these products successfully developed and commercialized for shipping developments.
Robert Moskow: And do you think this will give you a bigger year in terms of innovation in 2021 than a normal year, like, twice as much innovation, and three times as much, and you know is there anyway [indiscernible]?
Ken Romanzi: I would like to hope that and I think that's more appropriate for our 2021 guidance. Because right now, we still don't know, for every single customer and all the different categories when the reset is going to be. Because they still haven't decided. I mean, lastly checked, COVID is not over, and so there's still a lot of uncertainty.
Robert Moskow: Okay.
Ken Romanzi: And we're ready to go when the customers are ready to go, but that hasn't been all decided yet.
Robert Moskow: Right. I'm a big fan of [indiscernible]. So, I'm looking forward to that.
Bruce Wacha : Nice, thank you. All right, thanks, Rob.
Operator: And with no further questions in queue that will conclude today's call. We thank you for your participation and you may now disconnect.
Ken Romanzi: Thank you.